Operator: Good day, ladies and gentlemen, and welcome to the MicroStrategy Q3 2015 Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to Michael Saylor. Please go ahead.
Michael Saylor: I'd like to welcome all of our investors to this call. I'm the Chairman and CEO of MicroStrategy. Thanks for dialing in with us today to hear about our 2015 third quarter financial results. I'm here with our Presidents Jonathan Klein and Paul Zolfaghari, our CFO Phong Le, our Senior Executive Vice President of Finance Doug Thede. I'd like to thank Doug Thede for his service to the Company as CFO over these last six years. He's done an admirable job, and we all hate to see him go, and wish him well. But as we announced at the beginning of the year, he was planning to retire at the end of the year, and we worked together in order to find a new CFO, Phong. And Doug's been working very dutifully with him for the past three months to affect the transition that we have today. I'd like to pass the floor over to Doug who will no read the Safe Harbor and say a few words.
Douglas Thede: Thank you, Michael; and good evening. Various remarks that we may make about our future expectations, plans, prospects may constitute forward-looking statements for purposes of the Safe Harbor provision under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in our most recent quarterly report on Form 10-Q filed with the SEC. These statements reflect our views only as of today and should not be reflected upon as representing our views of any subsequent date. We anticipate that subsequent events and developments may cause the Company's views to change. While the Company may elect to update these forward-looking statements at some point in the future, the Company specifically disclaims any obligation to do so. Also, during the course of today's call we will refer to certain non-GAAP financial measures. There's a reconciliation schedule showing GAAP versus non-GAAP results currently available on our press release issued after the close of market today, which is located on our website at www.microstrategy.com. Now before I turn the floor over to Phong to talk about the -- to make some financial remarks, I too would like to thank the investors and analysts, as well as everyone here at the table, for all their help over the years. I mean, the investors and analysts, as we changed our policy a year and a half ago, I've talked to many of you, and, candidly, I've enjoyed all those interactions and I've learned a lot from you. And working here for the last seven years, I've worked closely with Michael and Jonathan and Paul, and they've given me great support over the years, and truly, I truly appreciate all the opportunities I've had here, especially that you gave me here, Mike, and I think that's great. Over the last few months, as Mike mentioned, I have been working closely with Phong. Actually I'm very excited over the fact that we found somebody who's really qualified to step in my shoes and do a better job than even I did. He's really kind of taken the bull by the horns and immersed himself in the Company. I've worked closely with him and I feel very confident that he's taking the baton and can move on from here and help the Company grow and become even more profitable. With that, Phong, I will turn the floor over to you to discuss Q3.
Phong Le: Thanks, Doug, and I appreciate the kind words and a very smooth and gracious transition over the last few months. It's been a pleasure to work with you. I want to start by saying how excited I also am to be a part of the MicroStrategy team. I'm very grateful to have the opportunity to address everyone today. Now onto our Q3 results. In Q3 we had revenues of $129.5 million, operating income at $30.7 million, net income at $23.9 million, and diluted earnings per share of $2.06. So I'll first focus on our revenues. Our revenue -- our total revenue of $129.5 million represent a decline of 14% from the third quarter of 2014. As with most multinational companies and corporations, we experienced some strong foreign currency headwinds in the third quarter, which negatively impacted our revenues by approximately $9.1 million or 7% of that decline from 2014. Our product licenses and subscription revenues were $24.1 million in Q3, a 15% decline year over year, with foreign currency changes negatively impacting revenues by approximately $2.0 million or 5%. Our product support revenue was $71.4 million in the third quarter, a 5% decline year over year, with foreign currency changes negatively impacting such revenues by approximately $5.3 million or 7%. Finally, revenue from our services business continues to see a decline year over year, due primarily to our strategic decision to focus on margin. Services revenue declined 33% year over year, with foreign currency changes negatively impacting such revenues by approximately $1.8 million or 7%. We did see a favorable increase to gross margins in services to 35% in the third quarter 2015 as compared to 30% in the third quarter 2014. The continued focus on smart investment is evident throughout our business. Operating expenses were $74.1 million in Q3 2015, down 40% year over year, and 34% when excluding restructuring costs which were $0.1 million in Q3 2015 as compared to $11.6 million in Q3 2014. Sales and marketing expenses were down 37% year over year. General and administrative expenses were down 20% year over year, and were 15% of revenue in Q3 2015, down 16% from Q3 2014. Finally, I'll touch on research and development which were R&D expenses decreased 38% year over year. With our recent major product releases, we did not capitalize any R&D expenses in Q3 of 2015. This compares to Q3 2014 where we capitalized $2.3 million in R&D expenses. Our focus on cost management contributed to Q3 operating income at $30.7 million and an operating margin at 24%. Moving to the balance sheet briefly. At the end of the third quarter of 2015 we had cash, cash equivalents and short-term investments of $456.9 million, and continue to have no debt. Net cash provided by operating activities was $31.4 million for the three months ending Q3 2015, compared to $2.0 million in the same period 2014. Our total gross deferred revenue balance at the end of third quarter of 2015 was $182.4 million, compared to $192.9 million at the end of the third quarter 2014. This changing year-over-year deferred revenue is largely due to FX changes. Furthermore, at the end of the third quarter 2015 we had additional future minimum commitments by our customers to purchase our goods services of $138.4 million as compared to $132.8 million as of the end of the third quarter of 2014. Now I'll turn it back to Michael Saylor for comments on our quarter.
Michael Saylor: Thanks, Phong. Our plan for the business since we began focusing upon this turnaround about a year and a half ago has been in three parts. It's really a three-year plan. The first-year plan is rationalize the business by streamlining the products, by -- and the product line by exiting markets where we didn't think we could be cost-effective, by cutting costs where we saw it was appropriate, and by installing new types of fiscal disciplines. And we've moved through that first year. The second year is all about new people, new processes and new systems in order to drive sustainable profitable growth. Over the past year we have replaced or augmented every single department head in the Company, brought in a lot of talented new executives, and we have consolidated our operations to our headquarters in Northern Virginia in order to achieve a new degree of coordination and effectiveness. Our third year of this three-year plan is going to be all about growing the business and accelerating our initiatives. So that's the big picture. If I look at what has happened over the most recent time period. Well, I think our strong focus has continued to be to rationalize our business. We're pleased with the financial results in the third quarter. We've worked really, really hard to consolidate product initiatives, to streamline various departmental efforts, in order to find a new source of synergies and efficiencies throughout our entire business. And I think the result shows in the finances. We generated $111 million in cash over a four-quarter time period, which is up $100 million or so over what we were doing in the previous four quarters, so that the business become much more efficient, a much better cash generator, much more profitable. And we didn't do that just to generate a healthy operating income and a healthy cash flow. We did it with the observation that we had too many initiatives in the business and too many disparate executive teams and too many different product families in order to grow the business sustainably at a comfortable level of profitability. So this rationalization stage we've gone through has made the Company leaner, meaner, much more tightly coordinated. We've created new degrees of transparency, that we just couldn't achieve before. And now our focus, although it continues to be on streamlining our operation and driving that efficiency, it's also beginning to move forward to driving growth and driving velocity. And those initiatives to drive growth and drive velocity and competitiveness are really across three different areas. In the technology area, we're really excited about the delivery of version 10 and the enthusiasm that our customers have for it. We've got a great release that came out during Q3 and we have continual release plans during the coming 12 months for version 10. We'll continue to polish that and to streamline in. We've got some exciting developments in our cloud business, and our secure cloud just keeps getting better, more streamlined, easier to use, and we're enthusiastic about that. And in the area of enterprise security, we've made some great strides with Usher, both getting it to run more effectively out of the cloud, as well as improving the platform reach. Usher now has gateways that support physical access against Lenel controllers, Honeywell controllers, and also Tyco controller. And so to my knowledge, we're the first enterprise security company that actually has access to all of the major physical access controllers built into the platform itself, since a huge number of the buildings in the United States all operate on one of those three controllers for physical access. I think that opens up a lot of opportunities for us, and it's a very differentiating thing for our platform. We also have exciting new client application for digital badges for Usher that just came out, and we think that's going to streamline physical and logical access, that is going to drive adoption amongst some of our customers. I am pleased to announce that we've now obtained our first set of enterprise customers for Usher and there are organizations across governmental agencies, we have some retail customers, we have education, and then we have the finance sector, including one of the major stock markets, as a customer. So we're not prepared to break our financials or give a lot of detail on our enterprise security offering right now, but suffice it to say we are obtaining prestigious enterprise customers, we're refining the product, and we enthusiastic about what the future holds or in the coming year. In the area of sales and marketing, our focus is upon streamlining and improving our operational execution in the areas of business development and account management and sales operations and partner operations. And as we continue to gain new global alliance partners on the strength of our technology, we're equally focused upon establishing great sales and marketing processes in order to maximize our joint success with those partners. A third area of focus for us is services and especially continuing to integrate our services with our software sales and with our customer base, streamline our service offerings, and offer continued value-added, differentiated expertise types of services that customers will value more highly and that will benefit them more. The entire management team I think is enthusiastically embracing all of these initiatives. We're through with the heavy cost cutting and now this is really rolling up your shirt sleeves and going to work in order to increase the velocity of the business and to be more efficient and be more effective in everything we do. I think execution is really paramount at this point. We expect we'll be hard at work at this through the end of the year. And in 2016 our expectation is that the Company is going to return to revenue growth and we'll start to grow in a consistently profitable fashion from this rationalized base that we've established over the past 16 to 18 months. And with that, I'd be happy to open the floor to questions for many of the analysts on the call.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Greg McDowell of JPM Securities. Your line is now open.
Richard Deloria - JMP Securities: Hi. This is Richard Deloria dialing in for Greg from JMP Securities. Thank you for taking my questions. Just wanted to start out first by looking at the cash on your balance sheet, heading towards and ending the year with half-a-billion dollars in net cash and no debt. Just any thoughts on capital deployment strategies? I know in the past you've alluded to a possibility of doing maybe a buyback. Or do you have any thoughts on special dividends? And any other sort of ways to return value to shareholders?
Michael Saylor: Yeah. I think we're very enthusiastic about generating cash and maintaining balance sheet to show that we have the option to buy back the shares if market opportunity presents itself. And so as we go on to 2016, we'll be watching the marketplace and considering a variety of factors as we make those balance sheet decisions.
Richard Deloria - JMP Securities: Got it. Okay. And then just kind of looking in terms of the numbers, it looks like there is a sequential drop in subscription, and I just want to know what was behind that and what was behind the year-over-year decline in license revenue.
Michael Saylor: We're in, as I said before, we're in the process of rationalizing the business, and we took a very, very hard look at every single line of business we are in and every single market we are in and every single technology initiative we had. And in some cases we've chosen to exit those particular lines of business or markets we feel are not strategic. In the cloud business, in reoccurring business lines, we're in the midst of a product transition, from hosting our own cloud operation on a variety of different hardware platforms that we owned or operated to hosting our cloud offering on Amazon AWS environment, which is a much more liquid homogeneous environment. So as we go through that, we think there are some adjustments to take place in our reoccurring revenue stream. But on the whole, if I look at changes or reductions in either the license business or the reoccurring revenue business, my general view is it's in the best interest of the Company for us to make sure that we focus upon strategic revenue streams, and there are certain parts of the business that are certainly going to be easier for us to grow and more profitable for us to grow, and they leverage our core assets better. Other parts of the business tend to have a higher or lower gross margin, a higher variable cost, and they're not quite as leverageable for us. So, all revenue is not created equal. And while it is true, I do think going forward we want to establish a consistent silhouette where we have a growing and consistently growing profitable revenue stream. I think in this transition, it was necessary for us to make some hard choices about where we're going to focus. And so, decreases of revenue generally represent those choices that we've made.
Richard Deloria - JMP Securities: Okay, very helpful. Thank you.
Phong Le: Also speaking specifically to the quarter-over-quarter drop, I would say, first of all, it's hard to evaluate the business on a quarter-to-quarter basis, so I wouldn't emphasize too much the drop there. But you did see on product licenses and subscription services quarter over quarter went down about 7%, and there were some incremental changes in terms of both net deferrals and commitment to the business that impacted that on a quarter-over-quarter basis.
Richard Deloria - JMP Securities: Okay, great. Thank you. In terms of Usher, it looks like you're getting some good progress there, and I know you mentioned there's some agencies and customers, not going to name names, just wondering how close are we to getting a referenceable enterprise customer, and in terms of Usher. I know in the past you've called out I believe a $10 million run rate. Do you have any updates on just the general Usher run rate or maybe when we can start getting a little more clarity into that revenue stream?
Michael Saylor: I think we'll have more clarity to the revenue stream in 2016.
Richard Deloria - JMP Securities: Okay, great. And then last and then I'll jump back into the queue, but more from a housekeeping perspective. It looks like we had a pretty significantly lower effective tax rate overall, about 24%. Just wondering what was kind of the driver about that and then how should we be thinking about tax rates going forward.
Phong Le: Yeah, I think there were two drivers to that. One is just the distribution between U.S. and international income in a particular quarter would drive the effective tax rate. And so we did see a little bit more income distributed to the U.S. in Q3. The second piece is really a return to provision too [ph] that took place also in the third quarter with that effective tax rate. Now as far as thinking about the tax rate going forward, I think what we've seen this year obviously is more representative of the taxes that we would end up incurring on a go-forward basis.
Richard Deloria - JMP Securities: Okay, great. Thank you. I'll jump back into the queue.
Operator: Thank you. And our next question comes from the line of Karl Keirstead of Deutsche Bank. Your line is now open.
Karl Keirstead - Deutsche Bank: Okay. Thank you very much. Michael or Phong, if we could just drill a little bit deeper into the license and subscription performance in the third quarter, is there any way to bracket what the revenue impact was from MicroStrategy exiting certain line of businesses versus how the core products and business did? And then I guess, secondly, if there's any other comments that you can provide in terms of geographic performance or, Michael, just in general, or Paul, how the environment felt during the third quarter, any real change from 2Q? Thank you.
Michael Saylor: Well, I think the changes in the subscription and reoccurring business are largely related to our transition from an on-premises hosted cloud solution to the AWS hosted secure cloud solution. I think that, with regard to the software business, the software business is inherently lumpy for lots of reasons that we've all seen over the course of many years now. So I wouldn't counsel anybody to infer too much from a quarter-over-quarter change without putting in the context of an entire year.
Karl Keirstead - Deutsche Bank: Okay. And then Michael or Paul, just in terms of added color. I think last quarter you highlighted big growth in North America. Was there any geographic performance in 3Q that's worth calling out, or any change in the environment worth flagging for everyone?
Michael Saylor: Can you say the question one more time?
Karl Keirstead - Deutsche Bank: Just the geographic performance, whether there was a big diversity in terms of the 3Q license performance in the U.S. versus Europe or elsewhere. Last quarter you had a very strong recovery in North America. Was there any big difference in performance by geography in 3Q?
Michael Saylor: I think we're pleased with our international performance in the third quarter. So in general I think there's good strength across all of the various parts of the world right now. And I don't think I would highlight anything as particularly weak, nor would I say that the opportunity has shifted dramatically in any particular direction.
Karl Keirstead - Deutsche Bank: Okay.
Phong Le: I think, Karl, a lot of it just has to come down with the timing of certain large deals that happened in any particular quarter. So you may have seen a shift towards more large deals in international business in the third quarter versus more large deals in our domestic business in the second quarter. But again, to Michael's point, looking at it quarter over quarter I would say is not very meaningful. But if you were to break down the numbers, you see a little bit more shift towards international in the third quarter. I don't think it points to any particular trend.
Karl Keirstead - Deutsche Bank: Yup, that's helpful. And then maybe one last one for me. Michael, you mentioned on a couple of occasions your optimism about the business returning to growth in 2016. You haven't said much about the pending fourth quarter. I wanted to ask you how you feel heading into 4Q. Obviously Version 10 will have been in the hands of the reps for long enough it seems to make an impact in the fourth quarter, and I just wanted to gauge your confidence or would you steer us a little bit more towards 2016 being the inflection point as opposed to 4Q. Thank you.
Michael Saylor: The fourth quarter always turns out being an interesting quarter and a decisive one for companies, especially in the context of how we do for the entire year. It's been that way for as long as I could remember, and I suspect it will continue to be that way. We're enthusiastic about the product line, and I'm confident that in 2016 we'll be seeing some revenue growth from the core business. I think that if I chopped up results in a fine enough fashion down to the smallest increment, it gets difficult to forecast with the same degree of confidence. So I don't normally choose to give those forecasts, but not because I don't have confidence, just because the stacastics [ph] of it make it likely that, if you make enough forecast, eventually you'll be wrong on one of them, whereas over the course of a long period of time I generally get the trend just right.
Karl Keirstead - Deutsche Bank: Okay, very helpful. Thank you both.
Operator: Thank you. And our next question comes from the line of John Rizzuto of SunTrust. Your line is now open.
John Rizzuto - SunTrust: Thank you. A couple of questions. Michael, on Usher, you said we're one of the security companies, or, I can't remember the exact phrase, but kind of positioning yourself as a security customer or security vendor. And that was one of the questions I always have. Will people buy security from what is perceived historically as a BI vendor? How does that change? Are you starting to break out of being perceived as a BI vendor first and then get security? Are people looking at your -- at Usher and your security products outside of your installed base for BI and on its own merits, just what the trends are there.
Michael Saylor: Yeah, that's a good question. First, I want to take the opportunity and note that MicroStrategy has rationalized its entire business down to a single platform, which is Version 10.1 right now. And when you buy MicroStrategy's platform, you get all of the tools, servers and client software necessary to deploy a suite of unique applications. And those applications may have enterprise analytics capabilities, they may have enterprise mobility, they may have enterprise productivity, and they may have enterprise security capabilities, both ends of that [ph]. So we're selling a platform. It turns out that we market that platform on MicroStrategy.com under the MicroStrategy brand and it's -- and if you go to MicroStrategy.com, you're going to see it's going to say an enterprise analytics platform. And that of course is our bread and butter. But if you go to Usher.com, we have a secondary brand, and if you go to Usher.com, you'll see an enterprise security platform. It turns out that we're selling the exact same software. We characterize Usher as enterprise security because people looking for a multi-factor logical authentication or mobile building access normally want to see a much quicker, tighter message. But in fact, our view is we're selling one thing. Now, why do we actually -- why do we actually see success in the business that's dominated by enterprise analytics customers? Well, oftentimes it's the CIO or the CISO that's being drawn in to this discussion of security. So if you look at our MicroStrategy brand, we are actually selling to the IT departments of thousands of companies and we have enterprise sales reps that are selling to those CIOs and directors of IT. So, enterprise security is actually not so strange a proposition for them. In many cases, they've got that someone in the IT portfolio. It's just [inaudible] have to approach them in a different buy cycle, but it's not a different person. I think what's special about our offering and the reason we characterize it as enterprise security and not just security or mobile security or the like is there are players out there, I'll call them niche solutions, the point solutions like Duolmo [ph] or the like, and they would give you a piece of mobile software that would let you use it as a multi-factor to log in to a logical application in lieu of a password or to add additional factor to a password. But we're actually offering people the combination of logical authentication and physical access. And so you could use our software to open a door or unlock a parking garage or an elevator, and you could also use it to unlock a website or an enterprise application. And the third thing you do with our software is you could use it for enterprise productivity apps running on mobile devices. The last thing we're doing with our software is giving you enterprise analytics where you can join all of these logical and physical access data into your enterprise databases. In order to actually meet the needs of an enterprise, you need to support the enterprise directories like active directory, the enterprise databases like Oracle and Teradata. You need to run an enterprise-grade cloud, which is what AWS is. You need to be able to support enterprise devices and mobile device managers like AirWatch, which we do. You need to be able to support enterprise access controllers from Tyco or Honeywell, Lenel, which we do. And you need to have support for enterprise productivity like transaction services or communication services, which we do. So, taken as a whole, MicroStrategy's offering is we'll give you a full suite of analytics, mobility, security, productivity apps on a single platform and you can bet that it's an IT executive that's going to buy that. Before a company deploys a suite of applications like that, then the IT department is going to have to sign off on it, maybe the CIO itself was going to sign off on it, the CIO is going to sign off on it. We have for the past 15 years been selling to those organizations about half of that suite. We've been selling the analytics, the web, the productivity and the mobility part, we just haven't been selling logical and physical access. So we add those two things and we take it into the marketplace, and we feel really good about that. And we've gotten generally pretty good reaction. Sometimes we'll find that a customer started looking at logical access and then they switch to physical once they realize that we can do that. And how that -- what this does for us is this allows us to differentiate against point solutions. If you're a point data discovery solution like Blow, where you don't have mobile and you don't have security that we can offer, and you don't have productivity and enterprise reporting that we can offer. If on the other hand you're an enterprise reporting solution, you oftentimes don't have that flexible data discovery or that mobility. If you're an enterprise mobile customer, you don't have analytics. And if you look at the logical access players, they don't have physical access or analytics or mobile productivity suites. And that leaves you with the physical access controllers and the physical access people that they wouldn't ever think about deploying an analytics solution that runs on an iPad, that will ring the people on the phone that just walked in to your facility a few minutes ago. So we are carving our own way in this marketplace. We really passionately believe that the enterprise platform makes the most sense for deploying this suite of unique applications. And we will continue to compete against point solutions which range from Excel and Tableau to Duo [ph] or RSA or Click [ph] or the like. And we like to think that we're the smart customers' choice. If you're a sophisticated, smart customer around for the long term, you're going to want a single, unified platform that does all of this stuff, so that you're scalable and maintainable and extensible. And there's a place for the point solutions as well, if you're departmental and you're in a hurry and you just want to get one thing done fast. But we've always carved our own way in the marketplace. And hopefully that answers your question.
John Rizzuto - SunTrust: It does. Just, you know, so quickly, I mean, because I want to get into that segue into the MicroStrategy 10, that platform, but do you sell Usher with -- you sell with the same channels, with the same sales force, is it specialized or anything different there?
Michael Saylor: We sell Usher as an enterprise security platform using our same exact sales force, to the same exact customers that we're selling our analytics offering. So, Usher represents an upsell opportunity to all of our existing customers. We also have cultivated another set of alliance partners, large system integrators and defense contractors, like Northrop Grumman for example, that are enthusiastic about physical access or logical access or security and have an interest in integrating that with an enterprise analytics and mobility platform. So I would say there are a good dozen or more enterprise security partners that we call Global Alliance Partners that have reached everyone in the world that we're enthusiastic about. There's another set of focused specialists in the marketplace for security. And then we have enterprise analytics specialists and enterprise analytics global alliance partners as well that we've been working with over time. I would say, it is right for you to point, there are new channel distribution opportunities for us that are opened up with Usher, but they're completely accretive I believe. All the things we do with Usher accrete to our relationships with our existing channel partners or existing customers. And if anything, it just gets us more attention from -- for example, if, you know, we get more attention from Apple Computer because of the things we're doing with Usher and the Apple Watch, or Touch ID, than we would otherwise get. And I think we get more attention from the big physical access control companies or from the big defense contractors because of the things we're doing with Usher. I think that they would be much less interested in working with us if that didn't exist.
John Rizzuto - SunTrust: Great. Now, finally, on MicroStrategy 10, obviously one of the most important releases if not the most important release in your MicroStrategy history, and it seems, from our perspective, you nailed it. What are the things that you look at to see that you're getting competence in it, you're lacking competence in it, or it's going better than expected, and, you know, the things that you say, hey, this really works, we like it, we get it right, or, you know, we need to do these things better? Just if you can help us understand MicroStrategy 10, the impact it's having for the Company, which obviously will set the future performance of the Company.
Michael Saylor: So you know with MicroStrategy 10, one of our key things is to continuously benchmark it against the other point data discovery solutions in the marketplace and to hear from our customers how they compare it. So we like to see a customer say they evaluated 10 versus the other solutions and it's better or it's comparable to some point solution. I think our installed base has large volumes of mission-critical enterprise analytics applications deployed on generally the MicroStrategy Version 9 platform, and oftentimes those companies will run those for many, many years. And if they're not broken, oftentimes they won't change them. So that's a great thing for us, to have that kind of stability, but we also spend time and are now spending more and more time introducing Version 10 to our existing customers and then going through and doing analysis in order to figure out which of those customers have applications or new applications that make more sense to deploy on Version 10 and Version 9. And as we start to see the results of that, it gives us more confidence as to what we have. I think generally whenever we see a new application area that's commercialized or a new competitor that we compare with more favorably because of Version 10 functionality, that makes us confident. So, right now I think generally we're working through those exercises, and of course we're working through a fairly comprehensive customer communications campaign to introduce Version 10 and to demonstrate the value of Version 10 everywhere within our installed base, and then of course to the installed base of our competitors. I guess that's the third area, I didn't really mention, but it's an important one. Version 10 is special because you can actually build the applications and you can use competing BI tools as the data source, so we can actually run applications against business objects schemas and data structures. So as we work in the market and go out to some of the legacy BI vendors, customers, they are now starting to look for alternatives. We use Version 10 as our primary weapon in those competitive evals, and you can bet that we're really watching very carefully how all those competitive replacement sales cycles go and how Version 10 performs in head-to-head competition.
John Rizzuto - SunTrust: Great. So that would be, I mean it's, you know, the fact that desktop 10 is a standalone solution gives you the flexibility to actually do that, win on the desktop. That's actually some of these other point solutions have started to gain traction. Do you see an emphasis and an opportunity for you to kind of take what some of these point solutions did, just go in with the MicroStrategy 10 desktop as that front-end with some of these, you know, more -- or guard your backend solutions and actually an opportunity for MicroStrategy then to be that type of front-end on whether it is a Cognos backend or a BobJ backend, to that extent, much like, quite frankly, the point solutions have grown their businesses, but you still have that backend to do it? I just don't know if you're trying or you're able to say, look, we can be that front-end as well as this enterprise platform, if there's any thoughts around that.
Michael Saylor: We've had pretty extensive discussions with industry analysts, and generally they identified two parts of the market of interest. One, all of the existing enterprise customers have made commitments to some of the legacy BI vendors over the past 10 to 20 years that are now growing long in the tooth. There's probably 90 legacy BI vendors that were installed across the Global 2000 from 1995 to the year 2010. And of the 90, there's only a handful that are still viable choices moving forward. So that's one interesting market. And there, there's a queer need, which is we want a modern platform that's going to grow with us and we need to migrate our dashboards or our enterprise reports or our productivity apps or our analytic apps forward on a new horse. I think the other market that analysts point out is, is the point solutions, the Tableaus of the world and the ClickText [ph] that have gotten some quick attention in the marketplace, that are now struggling in the enterprise market. We're pretty confident that we've got the whole enchilada [ph] here. We've got a unified platform that covers every single base. And in 2016, our plan for Version 10 is to start to use a Version 10 that's seasoned, harnessed with a set of sales and marketing programs that target the legacy base and target the point solutions installed base. So I think that'll be a focus of our sales and marketing energy and I think those are two areas where we can actually find revenue as we go forward in the coming year.
Phong Le: I appreciate the questions. I think we have a couple of more analysts that are waiting to ask a question. Thanks.
John Rizzuto - SunTrust: I'm all done, Phong.
Operator: Thank you. And our next question comes from the line of Yun Kim of Lake Street Capital. Your line is now open.
Yun Kim - Lake Street Capital: Thank you for taking my questions. Just following up on Usher discussion you had, Michael. Obviously I've been hearing a lot of great feedback on the product over the past several years. It sounds like there was some change in the marketing strategy behind the product recently, kind of put it into the platform. Are you targeting maybe a different opportunity by incorporating your -- the product into your platform and perhaps targeting smaller unique opportunity like within the BI deployment environment, or are you still largely still focused on continuing to focus on targeting large enterprise opportunities for Usher.
Michael Saylor: Our focus is still on large enterprise opportunities. We've just continued to refine and polish the product. We've been polishing the client interfaces, we've been polishing the productivity offering, we've been polishing the analytics, and we've been integrating the product. We -- it's become pretty clear to us that it's very important that we integrate our enterprise security into our overall enterprise platform, it's very important to us that we go to market with a single direct sales organization and not have multiple sales organizations. We do have some Usher-specific product marketing, but in general our focus is an enterprise platform that you can use to deploy unique suite of applications that provide security, that provide mobility, that provide productivity, that provide analytics. And so the products become more streamlined and more integrated into a MicroStrategy sales, marketing services and technology. But otherwise, it's an enterprise sell.
Yun Kim - Lake Street Capital: Okay, great. Thanks for that feedback. Just in terms of, you know, you guys do a great job of providing us with a lot of business and operational matrix on -- from your Qs and Ks, but one thing that is missing that I think that probably can help me better to understand your business is really the mix between new and existing customers. Try to better understand whether you are now more focused on targeting existing customers given the rationalized sales and marketing capacity. Thanks.
Michael Saylor: Yeah. I think we're targeting both new customers and existing customers. And I think as we go into 2016, as I was saying, our focus in sales and marketing is going to be, I would say, on the following areas. We'll focus upon targeting the existing enterprise customers of the legacy BI vendors, because they tend to be big, rich companies with mission-critical enterprise needs. They -- our message resonates with them nicely, and we're able to check the box on all of their various requirements. So I think that'll be a focus for us. I think that a second focus for us will be enterprise security customers, and that's pretty much anybody on earth has an enterprise security problem, and I think that 2016 will, if anything, will be a year where people have more insecurity about their physical and logical access than ever before. That can be easily predicted. And security will continue to grow and people are going to want more security if they can buy it from a software vendor. I think the third area is going to be companies that have dabbled with the point solutions like Tableau and Click [ph] that have found that they ran out of gas. And so many, many people are saying, we rolled it out but we can't actually deploy it to the enterprise and we're stuck, and now they're looking for the next thing that will meet all of those needs but provide them with some more scalable enterprise. And I think we're well-positioned for that.
Yun Kim - Lake Street Capital: Great. And then just the last question, for Phong and Doug. Is it safe to assume that you'll start to capitalize again on the capitalization starting in the current December quarter, that you -- as you'll be working towards the next release?
Phong Le: No, I don't think that's necessarily safe to assume. Obviously we'll look at our capitalization on a quarter-to-quarter basis, but subsequent to our big MicroStrategy 10 release, we're now doing minor point releases that includes bug fixes, et cetera, which wouldn't necessarily be capitalized more [ph].
Yun Kim - Lake Street Capital: Okay. Great. Thank you so much.
Operator: Thank you. And our next question comes from the line of Frank Sparacino of First Analysis. Your line is now open.
Frank Sparacino - First Analysis: Hi guys. I'll keep it short. Just curious, Michael, if there's any way to quantify the level of -- sure [ph], I guess, there'll be new leadership across the sales organization. And then secondly, related to that, where do you feel like you're at from a productivity standpoint by now a relatively new team and when do you think you sort of hit your stride?
Michael Saylor: Well, we have, since the beginning of the year, had a worldwide sales, we've replaced the heads of international and Americas, and we brought in a new head of worldwide services just recently. So those are four of the most senior positions and they all are new talent. In terms of quantifying the rest, I think the turnover in the middle levels of course is not nearly so much, and we've got a lot of industry veterans that had been with us for a while and they're strong players, and we're pleased with them. So I think our primary interest is at the senior management level. What was the second part of your question?
Frank Sparacino - First Analysis: Just from a productivity standpoint, Michael, where you're at right now and when do you think sort of the new team will be up and running at full capacity, so to speak?
Michael Saylor: I think productivity has marched forward pretty consistently for the past four quarters. And I think productivity will continue to improve over the next four quarters. And I expect that probably, if you look out more than four quarters, we'll start to approach something which is more stable and balance. And from that point forward, we'll be relying upon our product to drive productivity north more so than our leadership team.
Operator: Thank you. And we have a follow-up question from the line of Greg McDowell of JPM Securities. Your line is now open.
Richard Deloria - JMP Securities: Hi, this is Richard Deloria again. Just two quick ones for you. So in terms of MicroStrategy 10 and the desktop, I mean two parts to that, have you seen a significant amount of new customer interest as opposed to existing customers maybe on 9 or in some way in the MicroStrategy ecosystem? And then, have you seen desktop be a significant part of any deals, especially any large ones?
Michael Saylor: Regarding the first question, I think that Version 10 has contributor or resulted in more interest in the Company than anything we've released in the past five years or so. So it's -- there's been a huge amount of interest. I think a lot of people are giving us another look now because of Version 10. So it's been a great door opener, I see a lot of activity and a lot of traffic. And I've laid, I've taken to reading the lead logs that are coming in, and so the lead logs are looking longer to me. So I'm very interested in that. Regarding desktop, I think desktop is a part of some of our deals and it's more and more often that people are asking us to include it. It's been helpful.
Richard Deloria - JMP Securities: Great. And then last one, I'll jump off, but in terms of headcount, it looks it was still down a little bit for this quarter, significantly less of a reduction than we've seen in the past. Is that -- have things kind of stabilized off here or, you know, don't need -- don't expect any more? Is there still a little bit more to come in terms of reducing your headcount?
Michael Saylor: I think the general headcount levels have stabilized. I mean we look from time to time at anything we might do to be more efficient. But as a practical matter, I think we're at a stable point, and our focus right now shifts to growth.
Richard Deloria - JMP Securities: Great. Thanks, Michael.
Michael Saylor: Well, I want to thank everybody for your time today. Thanks for being a shareholder, if you're a shareholder, we appreciate your support. And I will look forward to speaking with you again in 12 more weeks. And have an excellent holiday season. All the best.